Operator: Thank you, and welcome to Betterware's First Quarter Fiscal Year 2023 Earnings Conference Call. With me on the call today are Betterware's Executive Chairman, Luis Campos; Betterware's Chief Executive Officer, Andres Campos; and Corporate Chief Financial Officer, Alejandro Ulloa. Before we get started, I would like to remind you that this call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statement should be considered in conjunction with the cautionary statements and the safe harbor statement in the earnings release and risk factors discussed in reports filed with the SEC. Betterware assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the earnings release issued yesterday as well as the Investors section of the company's website. And now I would like to turn the call over to the company's Executive Chairman, Luis Campos. Thank you sir, you may begin.
Luis Campos: Thank you operator. Good morning everyone and thank you for joining us today. I would like to begin my remarks by providing an update on our first quarter results for our consolidated operations. Then I will disclose additional details on JAFRA, both in Mexico and in the U.S. the progress we have made so far in terms of reaction [Ph], igniting its growth and increasing its profitability, and the plans we have for the rest of the year and going forward. Following this, Andres would discuss better or worse operating results for the quarter and provide an update on the key strategies we have for 2023 and our expectations for the remaining quarters of the year. And finally, Alejandro, our Corporate CFO will discuss our quarterly consolidated financial results, our expectations for the full year, our capital allocation strategy, and our expected dividend payments going forward. With their creative acquisition of JAFRA last year, we are now a more resilient company as we possess a diversified product portfolio with complementary well positioned product lines participating in attractive markets, both in Mexico and in the U.S. We are proud of the progress obtained since the acquisition was completed, and specifically during first quarter 2023 which allows us to reaffirm our belief that our company is in an enviable position to capture growth and add value to our stakeholders. As we mentioned, in our earnings release published yesterday the first quarter of 2023 we have seen positive results of our business of our business strategies in better word and JAFRA with results in line with our expectations at the beginning of the year. In the case of Betterware, which Andres will discuss in further detail quarter-over-quarter results show clear trends of stabilization and recovery in our key business metrics, with improved incorporation, retention, and activity rates in our sales network. And in the case of JAFRA, after almost a year of completing the acquisition, we are confident we made the right decision, as we are quickly making great progress towards increasing its profitability and re accelerating its growth in Mexico and in the U.S., leveraging in better words, three business pillars of product innovation, business, intelligence, and technology. Talking specifically about JAFRA, Mexico, the company continues to exceed the expectations said when we made the acquisition, both commercially and financially. Since last year, we have focused our key strategies on increasing our leaders and consultants space, providing them with the right tools and incentives to increase their business, as well as financial discipline that has allowed us to increase margins by controlling costs and expenses. These strategies are already in place in JAFRA, and have proven successful, showing promising results in line with the beginning of the year projections. The strategies include, among others, number one, product innovation. We continue to invest in innovation across our product lines. During first quarter 2023, the new products we launched to the market contribute more than 7% of total sales. In 2021 this represented only 4%. And in 2020, do we increase them to 6%. Since the integration with Betterware, we have reduced our time to market from 18 to eight months following global trends in the cosmetics industry. We remain leaders in the fragrance category and continue to focus on strengthening our position in color and skincare, which are already showing positive performance. All our strategies and guidelines are aimed at strengthening the brand, increasing market share and improving profitability. Number two, business development. We adjusted our incentive programs and are constantly working in the improvement and adaptation of the product catalog in accordance with global market trends, which should result in improved incorporation, retention and reactivation price. Number three, acknowledging. The Company continues to invest in technological tools, such as the Chatbot oriented so that the sales force has permanent online support to any mobile device, which will intensify communication and reduce waiting times. At the same time Jafranet 2.0 our new app for consultants, which will be launched in May 2023, and will facilitate the administration and growth of their lineage and business. Number four operations. We continue to be in constant search for efficiencies focus on cost and expense control and additional savings. Together with Betterware, the analysis and implementation of best practices and synergies continue to allow leverage through higher purchase volumes and take advantage of commercial conditions such as payment terms, discounts, savings in distribution costs and storage among others, all of which result in improved profitability and cash flow generation. The rate from the ball sales for first quarter 2023 were 9.2% higher than fourth quarter 2022 and approximately 26% higher than first quarter 2022 and slightly above our expectations. It is noteworthy that March 2023 has been the most successful month in recent years. As for JAFRA, U.S. as anticipated during the quarter, we saw negative results coming from a strategy changes made in 2021 under the previous management, coupled with the short-term negative impact of changes in our promotional strategy, which led to lower productivity and activity of our consultants, and in net revenue below our projections. It is important to mention that this trends show positive signs during the last month of the quarter, much sooner than we expected. This strategy changes include, among others number one, Product Marketing. During the first quarter of 2023, JAFRA, U.S. implemented a print to digital transition strategy, reducing the size of the print brochure from 60 pages to 48 pages, which will continue to decrease as we lower the promotions offer. Digital Tools will become more important from now on, allowing us to be more flexible and profitable while promoting our products across the country. Number two, digital marketing. JAFRA engaged directly with a small client base through email and text message with promising initial results increasing e-commerce conversion rate. We expect this initiative to attract a larger client base and higher conversion rates, resulting in increased revenue. Number three business development. During March, we deployed other business initiatives to help adjust consultant activity and productivity, including two strong reactivation strategies that result in the reactivation of 4800 consultants and increase revenue by approximately $1.1 million. These strategies, among others, with a strong focus on reactivation and retention allows us to move from a consultant activity rate of 37% in February, to a consultant activity rate of 53% in March. Reactivation and retention will continue to be an important focus as we work to meet our projections while focusing on mid and long-term strategies that will result in growth. Number four technology we are currently performing a software evaluation for the potential replacement of existing software. The implementation of this new software will allow us to be competitive in the e-commerce and the direct selling space in the U.S. and help to better monetize direct to consumer opportunities and create more impactful merchandising techniques and promotions for consultants. We are focused on developing the most effective and proven tools to take advantage of technology in favor of sales. Our strategy has had a positive impact on our business metrics sooner than expected, which reinforces our confidence in our plans. For the rest of 2023 JAFRA U.S. will continue to be focused on achieving its business turnaround with the strategies aimed at improving the client and consultant opportunity and bringing stability to the business. We are confident that as we continue to implement the 2023 commercial strategy we will see it [Indiscernible]. I will now turn the call to Andres to discuss Betterware’s unit for the four month for the quarter and our business strategies to return to growth.
Andres Campos: Thank you Luis and good morning to everyone. Thank you for joining us today. As we mentioned in yesterday’s release, we are proud to share that first quarter 2023 was the first quarter to post quarter-on-quarter net revenue growth since the second quarter of 2021, which confirms the stabilization of operations that we disclosed during the last couple of quarters. It is relevant to mention that our net revenue for the quarter was 87% higher than in the first quarter of 2019, the pre pandemic comparable period. We can confirm that our commercial efforts are yielding positive results showing improvement in our key operating metrics. Our base of associates and distributors ended the period practically in line with yearend figures delivering growth during February and March after a normal seasonal decline during January. We also saw positive trends in the churn, activity rates and average orders. We are confident that these trends will continue through the rest of the year. We are also proud of our profitability metrics. Once again, we have demonstrated our flexibility to adapt and the benefits of our asset light business model. While year-on-year, EBITDA dropped due to decline in net revenue, we managed to significantly reduce our operating expenses, both in absolute terms and as a percentage of net revenue to expand our EBITDA margin compared to the same period last year. And more impressively, compared with the fourth quarter of 2022 our EBITDA grew 95.4% and our EBITDA margin expanded from 15.5% to 29.9%. Now that our commercial efforts are showing positive performance, and that our operating expenses are aligned to our current operations, we are confident that we will be able to reach our full year guidance. During the quarter we have made great advances in the strategies we laid out during our last conference call. And we will continue to provide you with updates and additional details as we continue to make progress. These strategies include first, in terms of product. During April, we recovered most of our core concepts that we needed to gain back after pandemic shifts in consumption. We also increased the number of SKUs to 360 and expanded our catalogue by eight pages. We launched two new categories, Wellness and Wipes. We will keep launching other categories such as Baby & Kids, Bedding, Hydration 2.0, Pets and Concentrate and Cleaning products during the rest of the second quarter, and third quarter of 2023. Thanks to our deep proprietary market story that we update every year, we have developed the tools to expand our participation in each of the concepts we hold in our catalog. Our second strategy catalog redesign. First of all, we launched a new design of the physical and digital catalog in January, achieving a much better exposure for products, our prices, our promotions, which should lead to greater excitement and superior navigability to improve sales conversion rates. We also launched our new enhanced PDF digital catalog, which is yielding more usability and better conversion. Downloads of this new digital catalog increased substantially from 58,000 in the fourth quarter of 2022 to 284,000 in the first quarter of 2023. During May, we will operate this digital catalog even further improving its personalization and connection with our websites. With this development, we will also start a new digital marketing campaign to boost its impact. The third strategy is focused on sales. We strengthen this sales strategy with the following three initiatives. Number one, we focused on incentive program on attracting new associates and distributors to achieve better start up compensation, as well as an approach to keep them buying in their first catalogs in order to achieve attractive bonuses since the start. These programs have allowed us to return to growth in our associates and distributor base without increasing expenses. During February, we concluded the migration of all our sales network to our new Betterware plus app, which generates a much better experience and functionality for our sales force, such as registering new distributors, monitoring their performance, among other features that we will be launching throughout the year. And number three, our new sales staff strategy. With more than 80 new field managers on the ground, we'll continue to work face to face with our distributors to motivate and train them so they can become more successful. And last but not least, our fourth strategy focused on operations. We will start operations of our automated pick-and-pack Tower in June of 2023, creating efficiencies in terms of time and labor required for our operations. In terms of excess inventories, during the quarter, we were able to reduce it by MXN 65 million ahead of our plants. We will continue to gradually reduce excess inventory during 2023 and 2024 while we prioritize exposure of new categories, and our best sellers of our main categories. We are also working on the diversification of products manufactured in China. We're actively looking for plastic, textile, metal, mechanical, electrical and electronic manufacturing options in countries such as India, Turkey, Southeast Asia, Central and South America and specially Mexico. We believe that by 2024, we can be manufacturing approximately 20% of sales outside of China. We are confident that our continued effort in these strategies will get us back on track, resulting in sustainable growth for the rest of 2023 and continue to profitably grow going forward. Now, I will turn the call to our Corporate CFO to discuss our financial results for the quarter and our expectation for the rest of the year.
Alejandro Ulloa: Thank you Andres, and good morning everyone. I would like to review our first quarter 2023 results. Please keep in mind that the currency I will refer to when reviewing results and guidance is the Mexican peso, which is our functional and reporting currency. Additional details can be reviewed in our earnings release published yesterday. I will then share perspectives on how we are approaching the rest of 2023 and discuss our capital allocation strategy and dividend payments going forward. As mentioned by Andres and Luis the group's results for the first quarter of the year, close in line with our expectations with improving trends in the main operating metrics of each of our business lines. We are proud of the progress obtained during the period and our consolidated results demonstrate quarter-on-quarter improvements. For first quarter 2023, consolidated net revenue increased 74.9% compared to first quarter 2022 driven by the inclusion of JAFRA in our results, which was partially offset by a decline in net revenue from Betterware. Comparable net revenue declined 25.4% due to a lower level of associates and distributors coupled with a lower associate activity rate. On a quarter-on-quarter basis, our net revenues grew 1.2% due to the civilization of our network in Betterware coupled with positive results in JAFRA Mexico, partially offset by net revenue decline in JAFRA, USA. Consolidated gross margin expanded 919 basis points to 72.8% compared to 63.6% in the first quarter of 2022, mainly due to JAFRAs higher gross margin profile partially offset by a 243 basis points margin contraction in Betterware, compared with an abnormally high margin in the first quarter of 2022. Compared to the previous quarter, the fourth quarter of 2022 the consolidated gross margin expanded 306 basis points, which can be attributed mainly to a 517 basis points expansion, in Betterware’s gross margin. Consolidated EBITDA for the quarter was MXN659 million 20.3% higher than in the first quarter of 2022 boosted by a positive contribution of MXN277.5 million from JAFRA Mexico and partially offset by a negative EBITDA in JAFRA USA and a 23.9% decline in Betterware’s EBITDA in line with a decline in its net revenue. Consolidated EBITDA margin contracted 915 basis points to 20.2% due to lower margins of JAFRA, Mexico and JAFRA U.S. partially offset by a 59 basis points margin expansion in Betterware due to improved operating leverage, demonstrating that our expense structure is now in line with our current level of operations. Compared to fourth quarter of 2022 EBITDA increased by 16.4% and EBITDA margin expanded 262 basis points exclusively attributed to a 1438 basis points or a quarter-on-quarter margin expansion in Betterware partially offset by margin contraction both in JAFRA Mexico and JAFRA U.S. Consolidated net income was MXN191.7 million down 28.3% from MXN267.3 million in first quarter 2022 mostly explained by the 617% increase in interest expense related to the debt obtained to fund the JAFRA acquisition. Earnings per share for the period were MXN5.15. And as for free cash flow defined as cash flow from operations minus CapEx, we generated MXN678.8 million attributed mainly to positive performance in Betterware and lower CapEx for the consolidated group. We have been successfully working and improve our cash conversion cycle. In this sense, we already reduced JAFRA Mexico's inventories range from 141 in first quarter of 2022 to 102 days in first quarter of 2023 and increase in sales payable from 77 to 91 days, aligning JAFRAs operations to Betterware's best practices, which should improve cash flow generation going forward. As of our balance sheet, the company's financial position remains strong and improving on a quarterly basis, even after the acquisition of JAFRA, which resulted in a significant increase in our total debt. Our net debt to trailing 12-month EBITDA ratio close the quarter at 2.3 times compared to 2.6 times in December 2022. As previously stated, we will utilize most of our operating cash flows and additional cash flow from the investments of unproductive assets to reduce our debt burden and further strengthen our balance sheet. In that sense, we reduced our total debt balance by MXN473 million during the quarter. We will continue to gradually reduce our total debt with a target to bring back our net debt to EBITDA ratio to below two times by the end of 2023. We are confident the key features of our business model namely high cash flow generation, asset light business model, and profitability will allow us to deleverage as planned. In terms of dividend payments, our board of directors has proposed a dividend payment of MXN150 million for the quarter, which is subject to the approval of the ordinary general shareholders meeting to be held on May 15, 2023. For the rest of the year, we intend to pay growing quarterly dividends if the group's results continue to improve as expected. Regarding our 2023 full year expectations after the first quarter, we remain cautiously optimistic and confident in current trends despite an uncertain economic external environment. We reaffirm our beginning of the year guidance of consolidated net revenue in the range of MXN13,200 million to MXN14,200 million and our consolidated EBITDA in the range of MXN2600 million to MXN2800 million. As always, we remain focused on our long-term prospects and our ability to seize growth opportunities, which will allow us to generate strong cash flows and continue to maximize shareholders value. Finally, I want to share with you that Betterware has determined that it will not file its annual report on Form 20-F for the fiscal year ended December 31 2022 within the prescribed period, some minor adjustments identified by us are being validated by our external auditors. The effect is a small reduction in the 2021 result and improvement in the 2022 result, which combined present a slight increase in the company's net income. The company is working diligently to complete all procedures related to these adjustments in order to file Form 20-F within the fifteen-day grace period provided by Rule 12b-25 of the Securities Exchange Act of 1934. I will now turn the call over the operator and we'll take any questions you may have. Thank you.
Operator: Thank you, sir. [Operator Instructions] And our first question comes from the line of Eric Beder with SCC. Please proceed with your question.
Eric Beder: Good morning, congratulations on a solid start to the year. First question is could you talk a little bit about what we should be thinking about in terms of the inventory levels? It looks like you did a very solid job in Q1 in terms of capturing that going forward and the ability to capture additional free cash flow by being more efficient and focused on the inventories.
Andres Campos: Hi, Eric, this is Andres. Yes. So in inventories, by the end of the 1Q, we have slightly below MXN300 million of excess inventory and better work in Mexico. We are planning to get out of this of this inventory between 2023 and 2024. So we are being patient with driving out this excess inventory in order to give way for the new categories and the bestselling products in the catalog. So we should expect these MXN300 million excess inventory to go out of the inventory between 2023 and 2024 for a couple of years.
Eric Beder: Okay. New categories for the better word catalog. What has been the response to them? I know it's only a few months, but what has been the response to those categories? And are you seeing that they're driving more orders and/or distributors and associates to come to better work? Thank you.
Andres Campos: Yes, so it is, as you say, too early to tell, because we launched the first one in March that was wellness. But we are seeing above average productivity per SKU in these categories. So the first signs are that these categories are driving more traffic and more higher orders to still early to tell in general but what we first science to do show good productivity.
Eric Beder: Okay, good luck for the rest of the year. Thank you.
Andres Campos: Thank you.
Operator: Our next question comes from the line of Christina Fernandez with Telsey Advisory Group. Please proceed with your question.
Christina Fernandez: Hi, good morning, I have a couple of questions. The first one is also on the Betterware business. Now that you've seen it stabilize and improve, slightly sequentially in the first quarter. I guess, as you look at the rest of the year, do you feel confident that you can continue to grow sequentially that that business, will be growing by the end of the year? And what are you seeing so far here in the second quarter?
Andres Campos: Hi, Christina, Andres again. So, yes, we are definitely confident that we can come back to growth. As we mentioned, in February and March, we have growth both in associates and distributors, we have not seen growth in two consequential months, in a couple of years. So this is we are seeing the trend of coming back to growth and we do expect quarter-on-quarter to regain that that growth again, in Betterware. This includes obviously all these strategies that we've mentioned that the introduction of the new categories, and also the stabilization of the consumption in this market. So we do expect to come back to growth in the coming quarters.
Christina Fernandez: And then, my next question is on the progress you're making on the cost savings, and synergies at JAFRA. Last year, you had given a number of 200 million to 300 million of synergies and cost savings. Where are you as far as realizing those is there? I don't know if there's a number you can quantify, to just give us a sense of how much of that you already sort of achieved or have been able to take out of the business.
Luis Campos: Yes, Christina, this is Luis. We are very to realize part of this this year. And we are already considering that in our guidance for the year and will complete 100% of the identify synergies and cost reductions next year. But we are doing very well. We are slightly ahead of plans in this regard. And I think by the beginning of next year, we will be able to complete this cost reductions.
Christina Fernandez: Okay, thanks. And then I have one last question on the JAFRA U.S. business. I know it's small part, but the losses did increase this quarter versus the last quarter. And your comments on the letter you've mentioned, it seems like there was like a one time or additional disruption this quarter. So how are you thinking about the EBITDA for that business as the year progresses?
Luis Campos: Yes, what we expect this year is basically a break even position for the year in terms of EBITDA in the U.S., and the sales begin growing probably little by little, not very impressively, but little by little in the second half of this year. We are right on plans. today. We have already executed some cost and expenses reductions. This is what we can expect for this year in JAFRA USA.
Christina Fernandez: Thank you.
Operator: [Operator Instructions] And our next question comes from the line of Andres Lomeli with LCA Capital. Please proceed with your question.
Andres Lomeli: Hello and thank you very much for taking my question and congratulations on the good results. My question is specifically for JAFRAN Mexico, where we saw an EBITDA margin contraction versus the previous quarter. And on the report, you explained it as cancellation of some provisions related to contingencies. Could you provide more color on this? And also, could you say if these margin levels of around 16.7%, I believe will remain constant throughout 2023? Or are we going to see margin similar to the ones that we saw in the fourth quarter of around 22%? Thank you.
Andres Campos: Yes, this is the first thing I would say this is really is that the margins in JAFRA, Mexico are very stable. And we control that very tightly all year round. It is normal that the gross margins go down a little bit in the first quarter as compared to the fourth quarter, because in the beginning of the year, especially in January, we have strong promotions in the catalog in order to reactivate all the people or the sales people, then this is totally normal. But we have very, very tight control on the margin on the gross margin. And what we can expect for the year is precisely that. Okay. We are going to have the gross margins with respect for the year.
Andres Lomeli: Perfect, thank you very much. And just a quick follow up. I don't know if you could provide any news or guidance on the sale of the JAFRA. HQ? Is that still something you're working on?
Alejandro Ulloa: Yes, hi this is Alejandro. We are still working on that. We are ahead of our expectations so far. But we could not tell right now if we're going to be, completing the transaction and this year. So yes, I mean, the market is kind of difficult, not because of how things are going in Mexico. But regarding, the availability of water, and electricity in Mexico City has been something that has stopped in some way some projects. So that's the concern for real estate developers. So that's the thing.
Andres Lomeli: Perfect. Thank you very much Alejandro.
Operator: [Operator Instructions] Okay, at this time, I'm not seeing any other questions coming in. I'd like to pass it back over to Luis Campos for any closing remarks.
Luis Campos: Thank you everyone for joining us today. We look forward to speaking with you when we report our next quarter results and meeting with many of you at our upcoming investor conferences. Thank you and have a good day.
Operator: Thank you everyone. That does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a great day.